Operator:
Geoff High:
Yvon Cariou: Thanks Geoff. Thanks to all of you who have joined us for today's call. I want to start by saying that in spite of the market's view of our stock in recent weeks, Dynamic Materials business is solid and its financial condition is very strong. While the border economy spent 2008 sliding deeper into recession, we delivered a year of very solid financial reserves, which included revenue in excess of $232 million, more than $24 million in net income, $1.91 in diluted earnings per share, adjusted EBITDA of more than $53 million and operating cash flow of $34 million. We also reduced our net debt by $21.8 million or 32%. Although fourth quarter revenue came in a bit below our expectations, this was primarily the result of third party administrative issues that affected the timing of certain shipments from our European operations. On the positive side, the fourth quarter also brought the booking of some very noteworthy orders. One, a $14 million order from the alternative energy sector who presents the largest contract in DMC's history. Another was a $6 million contract that stands as our largest ever order from the aluminum production industry. I should mention that subsequent to the end of the quarter, we closed three orders from the power generation industry with a collective value of approximately $10 million. Altogether we have witnessed a pull back in demand from the chemical, petrochemical and hydrometallurgy industries, we obviously are seeing very strong activity throughout several of our order end markets, and we are currently tracking a broad mix of prospective orders.
Rick Santa: Thanks Yvon. Fourth quarter sales came in at $59.6 million, which was approximately $4.6 million or 8% below our original expectations. As Yvon mentioned, the shortfall was due to delayed shipments from our European explosion welding operations and those shipments are now out the door. For the full fiscal year, sales increased 41% to $232.6 million versus $165.2 million in 2007. If you strip out our acquired operations, we reported year-over-year sales growth at our core explosion welding operations of 9%. In addition, sales from our AMK welding segment increased 36% year-over-year. The growth within our legacy operations was encouraging when you consider the state of the global economy. Q4 gross margin was 29% compared with 32% in the 2007 fourth quarter. Full year gross margin was 30% versus 33% in 2007. These declines are primarily related to a higher proportion of sales by our European divisions as a result of the DYNAEnergetics acquisition. Income from operations was $9.2 million versus $12 million in the fourth quarter last year. For the full fiscal year, operating income was $38.1 million versus $38.9 million in 2007. Fourth quarter net income was $5.4 million or $0.43 per diluted share versus net income of $6.9 million or $0.56 per diluted share in the 2007 fourth quarter. Full year net income was $24.1 million or $1.91 per diluted share versus $24.6 million or $2.00 per diluted share in 2007. Q4 adjusted EBITDA was $12.1 million versus $14.3 million in the fourth quarter of '07. Full-year adjusted EBITDA was $53.2 million, a 22% increase from the $43.5 million achieved in 2007. Since adjusted EBITDA is a non-GAAP disclosure, we encourage you to read the section in our news release regarding our use of such measures. We ended the year with an order backlog at our explosive metal working segment of $97 million. Our balance sheet at December 31, 2008 included cash and cash equivalents of $14.4 million. We also have eliminated any borrowings on our $35 million in revolving credit facilities. As Yvon mentioned, we generated operating cash flow in 2008 of $34 million. This represents an increase of 82% versus fiscal 2007. Looking forward, we expect first quarter sales will be down from 15% to 20% from the 2008 fourth quarter. The expected decline is related to the makeup of our year-end backlog which consists of several orders that came in late in 2008 and are not scheduled to ship until later in 2009. Q1 gross margin is expected to be in a range of 27% to 29%. Due to the inherent challenges of predicting the timing of large orders combined with the slow down in the chemical, petrochemical and hydrometallurgy sectors, as well as the uncertainty associated with the broader economy, we are forecasting that revenue for fiscal 2009 will decline between 12% and 20% versus fiscal 2008. Even at these lower sales levels, we expect to report strong operating cash flow for fiscal 2009. We anticipate that our full-year 2009 operating income will be impacted by various non-cash charges including approximately 3.6 million euros of amortization expense related to our DynaEnergetics acquisition, $4.5 million of depreciation expense, and $3.8 million of stock based compensation expense. Our blended effective tax rate for 2009 is expected to be in a range of 30% to 32%. We are now ready to take your questions. Tasha?
Operator:
Mark Parr – KeyBanc Capital Markets:
Rick Santa:
Yvon Cariou:
Mark Parr – KeyBanc Capital Markets:
Yvon Cariou:
Mark Parr – KeyBanc Capital Markets:
Rick Santa:
Mark Parr – KeyBanc Capital Markets:
Rick Santa:
Mark Parr – KeyBanc Capital Markets:
Rick Santa:
Mark Parr – KeyBanc Capital Markets:
Rick Santa:
Mark Parr – KeyBanc Capital Markets:
Rick Santa:
Mark Parr – KeyBanc Capital Markets:
Rick Santa:
Yvon Cariou:
Mark Parr – KeyBanc Capital Markets:
Rick Santa:
Mark Parr – KeyBanc Capital Markets:
Yvon Cariou: Thank you.
Rick Santa: Thank you.
Operator:
James Bank – Sidoti and Company:
Rick Santa:
Yvon Cariou:
James Bank – Sidoti and Company:
Rick Santa:
James Bank – Sidoti and Company:
Rick Santa:
James Bank – Sidoti and Company:
Rick Santa:
James Bank – Sidoti and Company:
Yvon Cariou:
James Bank – Sidoti and Company:
Yvon Cariou:
James Bank – Sidoti and Company:
Yvon Cariou:
James Bank – Sidoti and Company:
Rick Santa:
James Bank – Sidoti and Company:
Rick Santa:
James Bank – Sidoti and Company:
Rick Santa:
James Bank – Sidoti and Company:
Rick Santa:
Yvon Cariou:
James Bank – Sidoti and Company:
Rick Santa:
James Bank – Sidoti and Company:
Rick Santa:
James Bank – Sidoti and Company:
Rick Santa:
James Bank – Sidoti and Company:
Rick Santa:
James Bank – Sidoti and Company:
Rick Santa:
James Bank – Sidoti and Company:
Rick Santa:
James Bank – Sidoti and Company:
Rick Santa:
James Bank – Sidoti and Company:
Rick Santa:
James Bank – Sidoti and Company:
Yvon Cariou:
James Bank – Sidoti and Company:
Rick Santa:
James Bank – Sidoti and Company:
– :
Rick Santa:
James Bank – Sidoti and Company:
Rick Santa:
James Bank – Sidoti and Company:
Rick Santa: And there is annual principle payments that are due in November. There's also payments that are due out of excess cash flow for the proceeding year.
James Bank – Sidoti and Company: Right.
Rick Santa:
James Bank – Sidoti and Company:
Rick Santa:
James Bank – Sidoti and Company:
Rick Santa:
James Bank – Sidoti and Company:
Rick Santa:
Operator:
Avinash Kant – DA Company: Hi, Yvon and Rick.
Rick Santa: Hi, Avinash.
Avinash Kant – DA Company:
Rick Santa:
Avinash Kant – DA Company:
Rick Santa:
Avinash Kant – DA Company:
Rick Santa:
Avinash Kant – DA Company:
Rick Santa:
Avinash Kant – DA Company:
Rick Santa:
Avinash Kant – DA Company:
Rick Santa:
Avinash Kant – DA Company:
Rick Santa:
Avinash Kant – DA Company:
Rick Santa:
Avinash Kant – DA Company:
Rick Santa:
Avinash Kant – DA Company:
Yvon Cariou:
Avinash Kant – DA Company:
Yvon Cariou:
Avinash Kant – DA Company:
Yvon Cariou:
Avinash Kant – DA Company:
Yvon Cariou:
Avinash Kant – DA Company:
Yvon Cariou:
Avinash Kant – DA Company:
Yvon Cariou:
Avinash Kant – DA Company:
Yvon Cariou:
Avinash Kant – DA Company:
Yvon Cariou:
Avinash Kant – DA Company:
Yvon Cariou:
Avinash Kant – DA Company:
Rick Santa:
Avinash Kant – DA Company:
Yvon Cariou:
Avinash Kant – DA Company:
Yvon Cariou:
Avinash Kant – DA Company:
Yvon Cariou:
Avinash Kant – DA Company:
Yvon Cariou:
Rick Santa:
Yvon Cariou:
Avinash Kant – DA Company:
Yvon Cariou:
Avinash Kant – DA Company:
Operator:
Dick Ryan – Dougherty:
Yvon Cariou:
Dick Ryan – Dougherty:
Yvon Cariou:
Dick Ryan – Dougherty:
Operator:
Harry Kay:
Rick Santa:
Harry Kay:
Rick Santa:
Harry Kay:
Rick Santa:
Harry Kay:
Rick Santa:
Harry Kay:
Rick Santa:
Harry Kay:
Rick Santa:
Harry Kay:
Rick Santa:
Harry Kay:
Yvon Cariou:
Harry Kay:
Yvon Cariou:
Harry Kay:
Yvon Cariou:
Harry Kay:
Yvon Cariou:
Harry Kay:
Yvon Cariou:
Harry Kay:
Yvon Cariou:
Harry Kay:
Yvon Pierre Cariou:
Operator:
Debra Fiakas – Crystal Equity Research:
Rick Santa:
Debra Fiakas – Crystal Equity Research:
Yvon Cariou:
Debra Fiakas – Crystal Equity Research:
Operator:
Mark Parr – KeyBanc Capital Markets:
Rick Santa:
Mark Parr – KeyBanc Capital Markets:
Rick Santa:
Mark Parr – KeyBanc Capital Markets:
Rick Santa:
Mark Parr – KeyBanc Capital Markets:
Rick Santa:
Mark Parr – KeyBanc Capital Markets:
Rick Santa:
Mark Parr – KeyBanc Capital Markets:
Operator:
James Bank – Sidoti and Company:
Rick Santa:
Mark Parr – KeyBanc Capital Markets:
Rick Santa:
Mark Parr – KeyBanc Capital Markets:
Rick Santa:
Mark Parr – KeyBanc Capital Markets:
Rick Santa: No. The only time you would touch the other intangibles if you had such a significant decrease in value that you totally wrote off the goodwill.
Mark Parr – KeyBanc Capital Markets: Okay.
Rick Santa:
Mark Parr – KeyBanc Capital Markets:
Rick Santa:
Mark Parr – KeyBanc Capital Markets:
Rick Santa:
Yvon Cariou:
Operator:
Yvon Cariou:
Operator: This concludes today's conference call. You may now disconnect.